Operator: Ladies and gentlemen, welcome to Tims China's First Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode during management’s prepared remarks and there will be a question-and-answer session to follow. Today's conference is being recorded. At this time, I would like to turn the call over to Gemma Bakx, who heads Tims China's Investor Relations efforts, for prepared remarks and introductions. Please go ahead, Gemma.
Gemma Bakx: Thank you very much. Good morning and good evening, everyone, and thank you for joining us on today's call. My name is Gemma Bakx, Head of Investor Relations at TH International, and we announced our first quarter financial results 2024 earlier today. The press release as well as an accompanying presentation, which contains operational and financial highlights, are now available on the company's IR website at ir.timschina.com. Today, you will hear from Yongchen Lu, our CEO and Director; and Albert Li, our CFO. After the company's prepared remarks, the management team will conduct a question-and-answer session. You can find the webcast of today's earnings call on our website. Before we get started, I'd like to remind you that our earnings presentation and investor materials contain forward-looking statements, which are subject to future events and uncertainties. Statements that are not historical facts, including, but not limited to, statements about the company's beliefs and expectations, are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties, and our actual results may differ materially from those forward-looking statements. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and risk factors included in our filings with the SEC. This presentation also includes non-GAAP financial measures, which we believe can be helpful in evaluating our performance. However, those measures should not be considered substitutes for the comparable GAAP measures. The accompanying reconciliation information related to these non-GAAP and GAAP measures can be found in our earnings press release issued earlier today. With all that said, I'd like now to turn it over to Yongchen Lu, our CEO and Director. Over to you, Yongchen.
Yongchen Lu: Thank you, Gemma. My name is Yongchen Lu, CEO and Director of Tims China. During the first quarter of 2024, which is historically the weakest quarter in terms of seasonality, we delivered 7.1% year-over-year growth in system sales and our seventh consecutive quarter of positive adjusted EBITDA. We delivered these despite a challenging industrial landscape of intense price competition and significant macro headwinds. This quarter, driving profitability and improving operating cash flow, remains a top priority for us, and will remain so going forward. Our team has been focusing on strategic initiatives that bolster our bottom line while supporting profitable growth. With a strong focus on operational efficiencies and targeted marketing efforts, we are confident that our dedication to enhancing profitability will yield positive results, with the goal of achieving our first quarterly adjusted corporate EBITDA breakeven this year. We participated in strategic growth [core] pruning underperforming stores in Q1 2024, aligning with our previously outlined strategic initiatives. On March 31, 2024, we reached a significant milestone, surpassing 20 million registered loyalty club members, representing a 63.6% year-over-year growth. The average number of members per store exceeds 22,000, serving both as a catalyst for growth and a testament to the customer support of Tims China's loyalty programs. The support from our customers has been an inspiration for our team, continually spurring us to elevate our commitment to deliver top-tier products and exceptional services. We continue to deliver growth in a capital-efficient manner, and we remain committed to offer absolute convenience for our guests. Our strategic partnership with sub-franchisees is underpinning the expansion of our store network, including our density in existing cities for quicker services and broadening our outreach into new cities to welcome new customers. New cities we entered during the first quarter include [Huizhou] and Huzhou. Starting February 26, 2024, we launched a campaign nationwide to celebrate the significant milestones of our 5th anniversary in China and the 60th anniversary of Tim Hortons brand with a theme of 60 years of freshness and deliciousness. As part of this campaign, we introduced a new series of core products called Tims China Double Double, which enhances the original Double Double blue coffee with rich milk and more flavors. Additionally, three flavors of donuts were reintroduced: chocolate, strawberry and rainbow. Throughout the campaign, over 116 media agencies cover the history and legacy of Tim Hortons, resulting in over 20 million media exposures. The #doubledouble reached over 14 million views on Douyin, while the live broadcast on Douyin attract over six million viewers during the campaign period. Continuous product innovation remains a cornerstone of our strategic vision. We launched 14 new beverages and 18 new food products during the first quarter of 2024. New products, including Cherry Americano and croissant series, have been a particular success. We sold over 1.7 million units between them. Recognizing the popularity of our smile bagels, we have expanded the platform with enticing new flavors this quarter, including low sugar, dark chocolate and low [indiscernible], offering a taste of innovation while maintaining the quality and appeal that our customers cherish. In Q1 2024, our collaborations with Tangle Angel and Dove Chocolate have also achieved significant success, reaching over 10 million media exposures on Douyin and Little Red Book during the campaign period. As a leading international coffee brand renowned for delivering exceptional value for money, high-quality products, we focus on advancing our distinctive coffee-plus strategy. During the first quarter of 2024, we initiated the Bagel Tuntun Card campaign. This promotional offer allowed customers to enjoy a delicious Tims bagel for just RMB9.9, a move designed to boost food orders and attract a fresh wave of patrons to experience our offerings. In the first quarter of 2024, the percentage of orders that included food rose to 52.7%, an increase of over 8 percentage points from 44.2% in the same quarter of 2023. Lastly, our Popeyes brand continued to grow. So far, we have launched 14 Popeyes restaurants in Shanghai and are actively fine-tuning our menu, including expanding our product offerings beyond our core fried chicken products. Our 14 restaurants will serve a [solid] base for further growth in Shanghai and beyond. At this time, I would like to turn it over to our CFO, Albert Li, to discuss our first quarter 2024 financial performance in more detail. Albert?
Dong Li: Thank you, Yongchen. During the first quarter of 2024, facing intense industry competition and macroeconomic headwinds, we remained steadfast in our commitment to deliver exceptional value for money high-quality products to an expanding customer base and to enhancing our operational efficiency. In the first quarter of 2024, our system sales grew by 7.1% year-over-year to RMB363.5 million. The growth was primarily driven by an increase in the number of system-wide stores from 648 as of March 31, 2023, to 917 as of March 31, 2024. Overall, monthly average transacting customers were 2.8 million during the first quarter of 2024, representing an increase of 22.8% from 2.3 million in the same quarter of last year. Digital orders as a percentage of total orders increased from 79.1% in Q1 2023 to 85.4% in Q1 2024. And we continue to strengthen our digital capabilities to meet the growing demand potential for delivery and takeaway services. During the first quarter of 2024, we continued to enhance our operational efficiencies as a result of refinement to our supply chain management and economy of scale. Our food and packaging costs as a percentage of revenues from company-owned and operated stores have decreased by 1.0 percentage points year-over-year. We continued to prune our underperforming stores and optimize our unit economics. These actions allowed us to further deliver year-over-year reduction in rental and labor costs as a percentage of revenues from company-owned and operated stores by 0.9 percentage points and 1.3 percentage points, respectively. We also paired back costs at the headquarter level, helping to reduce our general and administrative expenses as a percentage of total revenues by 4.1 percentage points year-over-year. Turning to liquidity. As of March 31, 2024, our total cash and cash equivalents and time deposits were RMB218.2 million compared to RMB220.8 million as of December 31, 2023. The change was primarily attributable to cash disbursements on the back of the expansion of our business and store network nationwide. Repayment of bank borrowings offset by the US$20 million junior promissory note financing provided by Cartesian Capital Group, our existing shareholder. Moving forward, while driving profitable and capital-efficient growth being front and center of everything we do, we will continue to optimize our store unit economics, roll out our differentiated made-to-order fresh food preparation model to drive traffic, enhance our supply chain capabilities and efficiencies and facilitate our franchisees to manage the growth and profitability of their stores effectively. Now I will turn the call over to Gemma for today's Q&A session. Gemma, thank you.
Gemma Bakx: Anything you want to say introducing the Q&A or shall I go ahead with the first question?
Operator: [Operator Instructions]
Gemma Bakx: Thank you, Erin. Our first question comes from Steve Silver from Argus Research. Steve, go ahead with your question.
Steve Silver: Thank you and good morning and good evening everybody. So my question is, if the competitive and the macroeconomic challenges that the company is seeing last for longer than is currently expected, I'm just curious to get management's thoughts on how the company plans on staying the course in terms of expanding its store level EBITDA margins and then more broadly executing on its growth strategy?
Yongchen Lu: Okay. Thank you, Steve. Yes, I mean, the pricing competition does last for longer than expected. But for us, we don't really compete head to head with our peer coffee brands since we not only sell coffee, but also provide fresh prepared food. As I mentioned earlier, more than 50% of our orders come now with food, which is much higher than the market average. And coffee plus food will continue to serve as our big differentiation point, which can increase our average check and also our sales at the store level. So such differentiated position has attracted thousands of sub-franchisee applications. We have received over 3,000 applications already, and so we'll accelerate our sub-franchisee developments in the coming quarters and years to grow our network.
Steve Silver: Okay. Thank you so much.
Yongchen Lu: Thank you, Steve.
Operator: Thank you. Gemma, over to you for the next question.
Gemma Bakx: We have a submitted question from an investor who's asking about margins. And Luckin's number. He's observing Luckin's numbers were down significantly in the quarter, including same-store sales and margins as well. What do you think is the reason that Tim's margins are up, be it sequentially over the same quarter last year only? Anything that Tims is doing differently? Or what is your take on this?
Dong Li: Okay. I will take this question then. I think managing our cost structure effectively is very important to us. And we targeted to achieve margin expansion even at both store and corporate level. And even with this very challenging in terms of industry competition, in terms of the price war and in terms of the pressure on the same-store sales growth. So we want to expand our margin with these challenges. So we continue to implement rigorous capital expenditure control and cost reduction measures, and we made decisive decisions to prune those underperforming company-owned and operated stores. And we collaborated very closely with almost every supplier to strive for better pricing for our food and packaging items. And we invested in our warehousing and logistics to reduce our overall freight and transportation costs. And we also constantly review the pricing of our core product offerings to ensure we can actually get optimal margin out of those products that we sell. And we deploy AI and big data technologies. So actually, our technology platform can enable us to predict our daily sales more precisely so that actually we can manage our labor scheduling and inventory level more effectively. And as I mentioned, we cut down the headcount of our corporate personnel at the corporate level. And in the meantime, I think with the expansion of the – of our franchise store network, that will bring us more profitable growth along the road. So we are confident that our dedicated effort can help us actually improve our overall profitability at both the store and corporate level. Thank you, Gemma.
Operator: Thank you. Over to Gemma for the next question.
Gemma Bakx: We have a question from Sunny Huang from Nordic Asia Investment Group. And it is how do you view the extended price war? The question is, is it more about lacking industry demand or aggressive competitors given the increased number of coffee stores in China in 2023? The question is also about potential price hikes for certain Tims products. There were some in May. It's asking if you could speak to the sustainability of product price hikes and any further plans of price hikes going forward?
Yongchen Lu: Okay. I'll take this question. Yes. As I just mentioned, the pricing competition does last longer than expected. I think that's because, okay, most of coffee brands just compete on coffee products. So, I mean, and coffee products have become more now in common, similar taste, similar, okay, profile. And if they want to grab shares, then they have to compete on price. But for us, we not only sell coffee, we sell a lot of food. And food is a big differentiation point for us. Yes, we did increase our bagel and bagel sandwich price early May, and we don't see much impact on our sales because no – but that's a huge differentiation point for us. So, I mean, we have two lines for coffee, for the drinks. We'll have to give discounts to attract our customers or to maintain our customer base and we plan to launch a series of value for money [indiscernible] clients as well in the future to handle the price competition. But for food, no, we are a lot different. People love our bagels. They will come back for repeat purchase. We don't see much impact on that. And also for the combos, we sell our combos at a very competitive price. For example, breakfast, one cup of coffee plus one bagel only at RMB19.9, which is very competitive in the market. And also our lunch menu, like one cup of coffee plus one bagel sandwich, starting from RMB26.9, which is also very competitive in the market. So, I mean, that's our view for Tims. We are quite different from the peer coffee brands in the market right now.
Operator: Thank you. Over to Gemma for the next question.
Gemma Bakx: We have another submitted question that is, how has your franchising strategy been evolving since you first announced it last September? And what parts of it have exceeded your expectations and what has lagged your expectations?
Yongchen Lu: Okay. I'll take that. Our individual franchising strategy has been evolving very well and has received over 3,000 applications already, as I just mentioned, which has exceeded our expectations. We don't really promote that much yet. But the vetting process of the partners and the sites is very time consuming. Since we want to make sure we only select the right partners to work for the – for many years ahead. And also, we want to open the right sites to ensure the profitability and the payback for our sub-franchisees. So the value projects does take a lot more time than we have expected. So we are getting more personnel, we have streamlined the process to make it faster to open our franchising stores in the future.
Operator: Thank you. Over to Gemma for the next question.
Gemma Bakx: We have a question about the supply chain. And the question is that you have a lot of products that are new and new flavors as well. Could you provide color on what your supply chain looks like and how you optimize it?
Yongchen Lu: Okay. I'll take that as well. I mean over the past five years, we have built a robust supply chain infrastructure and capabilities. For example, we have leveraged our increasing scale to secure very competitive costs from our suppliers to achieve high gross margins for both company-owned stores and our franchisees. And we have at least two suppliers for almost all materials to make sure, okay, we can supply all materials safely. And also, we have multiple distribution centers in China to cover the whole country. So we can open in many new cities if we want. And in addition, we have set up a flexible and nimble process. So we can launch new products every two weeks to adapt to the market and customer demand.
Operator: Thank you. Over to Gemma for the next question.
Gemma Bakx: We have another submitted question. It touches on the competition again. How you've seen that developing over the last year, especially, but also what it means to Tims given the perceived weakness of the Chinese consumer?
Yongchen Lu: Yes, we touched upon that already. Yes, I would say something – as we all know, like Cody has emerged from the market very quickly and opening thousands of franchisee stores last year and initiated the pricing war for the whole coffee industry, which has affected our brands including us in the market to some extent. The pricing war might continue for a while. Having said that, as I mentioned earlier, Tims don't really compete head to head with our coffee brand, given our coffee plus food differentiation strategy. So we'll continue to focus on our differentiated product offerings and accelerate our sub-franchising development to expand our network.
Operator: Over to you, Gemma, for the next question.
Gemma Bakx: Our next registered question speaks to the food orders and the efforts Tims has made to boost them. How do you see those efforts relating to the competition?
Yongchen Lu: I mean, it works very well for us. As you can see, the percentage of our orders that include food rose to 52.7%, increased by over 8 percentage points from 44.2% in the same quarter of last year. With such differentiation strategy, we don't really need to compete head-to-head with our peer coffee brand. We don't need to, okay, and just compete just on price.
Operator: Thank you. Over to you, Gemma, for the next question.
Gemma Bakx: Our last submitted question is about Tim's loyalty program, loyalty customers program. How many of your loyalty customers are transacting on average is the question? And do transacting customers have a higher spend? Do you work a lot with coupons?
Dong Li: Okay. I will take this one then. We just celebrated the core milestone of surpassing 20 million loyalty club members as of March 31, 2024. And our monthly average transacting customers, as I mentioned before, were about three million during the first quarter this year. On average, our loyalty members, they purchased about 2.5x to 3x in eight months. And I think on average, our loyalty members, they spent 80% more than a nonmember customer. And then on the discounts question. So we do offer many attractive promotional activities and actually discounts to attract new customers and also to encourage our existing customers to repurchase, actually, to increase the customer, like, frequency. But, however, I do not think we rely heavily on coupons. We have creative marketing. We have many attractive products. We believe our overall product quality and services offering are very attractive to our customers. Thank you.
Operator: Thank you. Over to you, Gemma, for the next question.
Gemma Bakx: This completes our questions, as far as I can see. Yes.
Operator: All right. Thank you. So we're coming to the end of the conference call. Gemma, over to you.
Gemma Bakx: Thank you. Thank you, operator. Thank you very much, Yongchen and Albert. This concludes today's earnings conference call. We thank you so much for your participation, for dialing in and also for your interest in Tims. We look forward to reconnecting with you again in the very near future.
Yongchen Lu: Thank you. Thank you, all.
Dong Li: Thank you, all.
Operator: Thank you. This concludes our call today. You may disconnect.